Operator: Good morning. My name is Paula, and I'll be your conference facilitator. At this time, I would like to welcome everyone to The Wendy's Company First Quarter Earnings Results Call. All audio lines have been placed on mute to prevent any background noise. This call is being recorded and access instructions will be provided via email after the call. Thank you. I will now turn the call over to your host, Mr. David Poplar, Vice President-Investor Relations. Sir, you may begin.
David D. Poplar - Vice President-Investor Relations: Thank you. And good morning, everyone. Our conference call today will start with comments from our President and Chief Executive Officer, Emil Brolick, who will highlight our key initiatives and provide an update on the progress we are making on our brand transformation. After Emil, our Chief Financial Officer, Todd Penegor, will review our first quarter financial results and outlook. After that, we will open up the phone line for questions. Today's conference call and webcast includes a PowerPoint presentation, which is available on the Investors section of our website, www.aboutwendys.com. Before we begin, I'd like to refer you for just a minute to the Safe Harbor statement in our earnings release. Certain information we may discuss today is forward-looking. Various factors could affect our results and cause those results to differ materially from the projections set forth in our forward-looking statements. Also, some of the comments today will reference non-GAAP financial measures, such as adjusted EBITDA, adjusted EBITDA margin, and adjusted earnings per share. Investors should refer to our reconciliations of non-GAAP financial measures to the most directly comparable GAAP measure. And with that, I will now turn the call over to our President and Chief Executive Officer, Emil Brolick.
Emil J. Brolick - President, Chief Executive Officer & Director: Thank you, David. And good morning, everyone. In the first quarter, we continued our brand transformation journey, as we saw the continued strengthening of The Wendy's Company economic model and continued improvement of our restaurant-level economic model, which is critical to our franchise operators. Brand relevance and economic model relevance are the two major forces that enable us to create value for our franchisees, which in turn enables us to provide a compelling income and growth investment scenario for our shareholders. Our first quarter efforts and results reflected continued progress and commitment to all elements of our growth model. As a predominantly North American system, growing our domestic same-restaurant sales is fundamental to our success, and we are building a strong history of consecutive quarters of positive comparable sales. Central to our success is our heritage of food quality that began with our founder, Dave Thomas, and which uniquely positions Wendy's to deliver A Cut Above brand position. This brand position provides consumers a new QSR quality experience at a QSR price, creating a value proposition that differentiates Wendy's. Our recipe to win brings this Cut Above brand positioning to life through all elements of the brand experience. Our goal is that every aspect of The Wendy's brand experience communicates A Cut Above, and customers are telling us this is what they are experiencing when they visit our Image Activation restaurants. Consumers are experiencing bold restaurant designs, striking new packaging, friendlier restaurant teams, and innovative menu items, such as our current promotion, the Jalapeno Fresco Spicy Chicken Sandwich and Ghost Pepper Fries, which are performing very well. Through the execution of all elements of our recipe to win, we are transforming The Wendy's brand and reigniting latent brand equities to drive sales, customer count, and profit growth. As we look at our first quarter performance, we see that our brand positioning is translating into results. North American systemwide sales increased 3.2%. This includes a 2.6% increase at North American company-operated restaurants, which we achieved with no incremental pricing. While company sales were slightly below our expectations, our North American company-operated restaurants generated 160 basis point increase in restaurant margin. Our adjusted EBITDA and EPS results were in line with our expectations and our adjusted EBITDA margins improved 360 basis points. This expansion in adjusted EBITDA margin reflects the positive impact of our System Optimization initiative, which includes increased royalties and rental income along with a significant reduction in G&A expenses. And finally, our previously announced recapitalization is on schedule and we plan to provide our updated 2015 and long-term guidance on June 3. This will reflect the impact of our planned sale of our bakery operations, our anticipated debt refinancing and our intent to return the net proceeds to shareholders via a share repurchase program. Growing North American same-restaurant sales is fundamental to achieving margin targets and enhancing the restaurant level economic model for our franchise operators. To this end, we continue to refine our marketing model using the balance of core, limited-time only offers, and price/value messages. Wendy's has significant latent brand equities, which we can tap into more effectively. We are proud of our heritage of product innovation, providing consumers exciting taste variety with products such as our Pretzel Bacon Cheeseburger, Bacon Portabella Melt on Brioche, and now our Jalapeno Fresco Chicken Sandwich. We will continue this heritage of playing a different game through product innovation, but with better balance with core messages. The area of price/value is a work in progress. The goal is profitable customer count growth through value initiatives consistent with our Cut Above brand position and expanding restaurant level margins. Our first quarter marketing calendar reflects the continued evolution of our marketing mix. We began the year by promoting a core product, our outstanding Asiago Ranch Chicken Club, then featured our Bacon & Blue Cheeseburger on Brioche, which is an LTO, and finished the quarter by promoting our core salads with an ad campaign that reflected a more targeted approach to highlighting what makes Wendy's different and what makes Wendy's better – that being superior freshness, quality, and the taste of our products. You can also expect us to continue to use value promotions as secondary messages throughout the year to drive profitable customer traffic growth and expand restaurant margins. As we look to the balance of the year, we are optimistic about our marketing calendar, with exceptional products such as our current limited-time offer, the Jalapeno Fresco Spicy Chicken Sandwich and Ghost Pepper Fries. This promotion has exceeded our expectations to-date and underscores the importance of differentiating the Wendy's brand on the basis of product quality, innovation, and core equities. Innovation is an essential component of our Cut Above brand positioning. Our focus is not on playing the same game better; our focus is on playing the different game. Another point of differentiation for us is our Image Activation reimaging initiative where we continue to produce a robust pipeline that is consistent with our 2015 target of 450 systemwide reimages. We are seeing franchise adoption of Image Activation accelerating in 2015, as we announced in October 2014 that we are requiring all of our franchisees to reimage 60% of their total restaurant portfolio by 2020. The vast majority of franchisees have submitted a plan to hit this target, and many are taking advantage of our turnkey construction services, called Franchise Development Program, where for a fee that just covers our cost, we manage their Image Activation projects. We continue to offer an incentive program comprised of royalty relief that lasts anywhere from 12 to 24 months depending upon the type of reimage. New restaurant development is also critical to enhancing brand access and assuring relevance to all demographic groups. Our plans call for the Wendy's system to build 80 new restaurants this year, which is the most in eight years, and we plan to build 1,000 new restaurants, excluding closures, by 2020. We expect to achieve net positive North American restaurant growth by 2016, which will be the first time since 2010 that we have achieved this. We remain encouraged that the average sales volume of our new restaurants continue to be much stronger than our previous design options, as Image Activation restaurants open at about $1.9 million AUVs on average, which is an improvement of about $300,000 compared to the previous designs. As we move to a 95% franchise model, we know that the new restaurant growth will be a key to our future growth. Continuing to improve ROI of new restaurants is an ongoing quest and a key to strong new restaurant development. While new restaurants are an important aspect of increasing brand access, we also consider consumer-facing technology to be the number one way to enhance brand access. Accordingly, we are investing in platforms, such as mobile payment, mobile ordering, and customer self-order kiosks, which have the potential to provide benefits, such as consumer convenience, increased customer count, higher check, faster speed of service, and a seamless brand experience. These initiatives are essential elements of our strategy to increase brand relevance to all demographic groups. We clearly see a move toward move of a self-service economy, and everyone wins in this. As Todd will describe in more detail, our financial management strategies are on track. We remain on schedule to complete our debt refinancing on June 1 and we are targeting a leverage ratio of 5 times to 6 times our 2014 adjusted EBITDA. We also announced today our intent to return the net proceeds from our refinancing to shareholders via a share repurchase program. We expect to provide more information, including updated guidance reflecting these initiatives on June 3. Additionally, we believe our previously-announced System Optimization initiative will drive future growth by providing opportunities for expanded restaurant ownership to strong operators who have a demonstrated commitment to Image Activation and opening new restaurants. The sale of our domestic restaurants will significantly reduce future capital expenditure requirements, as reflected in our long-term free cash flow outlook. Given the success of our first phase of the System Optimization initiative, we have reengaged The Cypress Group to assist with the divesture of the 540 remaining domestic restaurants targeted for sale to franchisees. Going forward, we intend to buy and sell restaurants opportunistically, to act as a catalyst for growth by further strengthening our franchise base, driving development, and accelerating Image Activation adoption. We also announced today that we plan to divest our bakery operations, a non-current asset. We believe this divestiture will provide us with greater source and flexibility, as our use of artisan buns has increased with our premium limited-time only offers. In addition, the divestiture will focus our resources on our core restaurant business and eliminate future bakery capital expenditures. We expect the transaction to close in May. In summary, we believe our strategic growth priorities have positioned us to continue to deliver value to our shareholders and franchisees through continued improvement in the company and franchise economic model, by strengthening the franchise system through optimizing ownership for efficiency, by facilitating growth through Image Activation and new restaurant development. We are enhancing our quality of earnings and adjusted EBITDA margins. We are creating flexibility for sustainable, predictable long-term growth. And as we previously-announced, we are adjusting our capital structure to accelerate our annual long-term adjusted EPS growth to approximately 20%. And now here's Todd.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Thank you, Emil. I'll start with the financial highlights from the first quarter. Systemwide same-restaurant sales increased 3.2% during the first quarter of 2015. Same-restaurant sales increased 2.6% at Wendy's North America company-operated restaurants in the first quarter, while same-restaurant sales increased 3.4% at North American franchise-operated restaurants. Higher sales at reimaged Image Activation restaurants contributed to company-operated same-restaurant sales results, primarily from increased customer count. Our North American company-operated restaurant margin improved 160 basis points. The increase was the result of benefits from our Image Activation and System Optimization programs along with continued tight management of controllable expenses, partly offset by a 160 basis point increase in commodity costs, primarily for fresh beef. General and administrative expenses was $60.3 million compared to $70.4 million. The 14.3% decrease resulted primarily from cost savings related to our System Optimization initiative and our 2014 resource realignment initiative along with lower equity compensation expense. Adjusted EBITDA was $84 million, an 11.6% increase compared to $75.3 million a year ago. Adjusted EBITDA margin was 18% compared to 14.4%. The 360 basis point improvement reflects the positive impact of the first phase of our System Optimization initiative, including increased royalties and rental income along with a reduction in G&A expense. And finally, adjusted earnings per share were $0.06, an increase of 20% compared to $0.05. Let's take a look at our adjusted EBITDA bridge for the quarter. Remember that our comparable 2014 first quarter results of $75.3 million exclude $12 million in pre-tax gains, primarily from the sale of restaurants previously not included in our System Optimization initiative. Off of this base, we continued to deliver strong quality of earnings, as we realized about $10 million in G&A savings, about $5 million in increased royalties and net rental income, about $4 million in core EBITDA growth, and about $2 million from Image Activation. Partly offsetting these benefits were a $5 million reduction in franchise revenue due to lower technical assistance fees from the year-over-year reduction in the number of restaurants sold and $8.5 million in lost EBITDA from the sale of restaurants. The result is 2015 first quarter adjusted EBITDA of $84 million. This year we expect The Wendy's system to open 80 new restaurants, which will be the highest number in the past eight years. We also remain on target to hit our goal of 450 reimages this year due to the expected sale of certain company-operated restaurants identified for reimaging in 2015, we now expect our 2015 CapEx to be approximately $250 million to $260 million, a decrease of about $15 million relative to our initial projection. We continue to see encouraging returns from our Image Activation reimages, and many of our franchisees are taking advantage of our joint capital planning process to capitalize on this program. As a result, they are accelerating their participation in 2015 by leveraging our suite of reimaging solutions, which include scrape and rebuilds, the ultra-modern standard design with customizable upgrades, and our new refresh option. One important thing to note is that the franchisee involvement in refining our design has been very helpful, and we believe that our collaborative approach with our franchisees supports the momentum that is building around growth. We continue to expect to see 60% of our systemwide restaurants in an Image Activation design by 2020. During the first quarter, we announced the details of the third phase of our System Optimization strategy, and franchisee interest in purchasing our restaurants is very strong. We now intend to sell a total of approximately 380 restaurants in 2015, including the previously-announced sale of 100 Canadian restaurants and approximately 260 restaurants in 2016 for a total of approximately 640 restaurants. We expect to sell the remaining restaurants in Canada before the end of June 2015. The sale of domestic restaurants will begin in the second half of 2015. We believe the sale of these 540 restaurants will result in a pre-tax cash proceeds of approximately $400 million to $475 million and significantly reduce future capital expenditure requirements, as reflected in our long-term free cash flow outlook. On June 3, we will provide updated guidance that incorporates the impact of our anticipated bakery disposition, recapitalization, and share repurchase program, but in the meantime, we are reaffirming our 2015 adjusted EPS and adjusted EBITDA outlook. This includes a reaffirmation of our G&A guidance of approximately $250 million. We also adjusted some components of our guidance, including revising our company-operated same-restaurant sales outlook for the year from approximately 3% to a range of 2.5% to 3%. We are also lowering our CapEx outlook and we are raising our company-operated restaurant margin outlook to reflect expected easing in our commodity forecast. And finally, our reported tax rate is tracking to come in slightly lower than expected, which reflects increased visibility into the restaurants we plan to sell in the back half of the year. As Emil mentioned, our recapitalization is on track for completion on June 1 and in line with the targets we previously articulated. We believe that our debt refinancing will increase our financial flexibility, as our dividend strategy and System Optimization plans remain on track. We also announced today that we intend to use the net proceeds from the refinancing to return cash to shareholders in the form of a share repurchase program. The details and timing are currently under evaluation and will require approval from our board of directors. We expect our refinancing to close on June 1, and we plan to update our 2015 and long-term outlook for the impact of the refinancing, anticipated share repurchase program, and planned bakery sale on June 3. So, in summary, as we step back and look at the transformation of our economic model, these are the benefits that we expect to see: a more predictable earnings growth profile, which generates higher adjusted EBITDA margins and a higher quality of earnings stream that is much less capital intensive; a balance sheet we can leverage to support our long-term commitments on income and growth. We expect System Optimization to provide a stronger platform for us to have the ability to return cash to shareholders for years to come. We also remain focused on building the strongest franchisee community possible to drive long-term profitable, sustainable growth. And with that, I will now turn it over to Dave Poplar, for a quick look at our calendar, and then we will take your questions.
David D. Poplar - Vice President-Investor Relations: Thank you, Todd. Please note that we will be returning scheduled calls with the sell-side for the remainder of the day. But if you need to reach us, please e-mail me at david.poplar@wendys.com or leave a message at 614-764-3311, and we will get back to you as soon as we can. Before we open up the phone line for questions, I'd like to review some upcoming events on our Investor Relations calendar. On June 1, we will host our Annual Meeting here at our Dublin headquarters. On June 3, we will issue our updated outlook before the market opens and host a conference call at 9:00 a.m. Eastern Time. We will be in touch with our sell-side analysts in the near future to schedule follow-up calls on that day. On June 22, Emil, Todd, Greg Lemenchick and I will participate in the Stifel's Executive Summit at Baltusrol in New Jersey, and we will meet with investors in New York on the following day, June 23. Please touch base with Paul Westra or Kerry Oelkers at Stifel if you are interested in meeting with us on either of those two days. Looking further ahead, we plan to issue our second quarter earnings on August 5, and our third quarter earnings on November 4. Greg and I also plan to attend the C.L. King Conference in New York on September 10. And now, we are ready to take your questions.
Operator: Your first question comes from the line of Will Slabaugh of Stephens Incorporated.
Will Slabaugh - Stephens, Inc.: Yeah. Thanks, guys. Just had a quick question on same-store sales growth. You mentioned the company stores underperformed your expectations a little bit, but the franchise stores coming in roughly in line. Could you talk about the differences there and what you think led to that underperformance? And then also, the contribution that you think came from the remodels, and while maybe that's not flowing through as big as we may have expected at this point?
Emil J. Brolick - President, Chief Executive Officer & Director: Yeah. Will, this is Emil. Let me just comment on the underperformance, and then I'll flip it over to Todd. As I mentioned in my comments, I feel that the area of opportunity we have in our calendar remains the price/value area. And as I look at competitive messaging and the flow of our business on the day parts, there's no doubt in my mind that that was the difference between where we would have liked to have been for the quarter and where we ended up. And while it wasn't a significant miss, it was a little lighter. And as I look at the remainder of the calendar for the year, though, I feel very optimistic and comfortable on our outlook for sales guidance. So, Todd, maybe you can provide some perspective on...
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah, so a little more detail, Will, on the Image Activation program. As you know, we did a lot of restaurants in the third quarter and fourth quarter last year. And in the earnings release, we stated that we saw a nice tailwind to same-system – or to same-restaurant sales for the company – of 150 basis points from IA. But we're also getting a lot more IAs now from in the system. So the delta between the company and the system is a little over a point of same-restaurant sales growth. What really closed the gap down is we just had carry-over pricing built into our plan during the course of this year. The franchise community, when they saw the beef inflation coming their way, were much more aggressive on pricing during the course of the first quarter. So they took a little more pricing, which really narrowed the gap between the company and the franchise numbers.
Will Slabaugh - Stephens, Inc.: That's helpful. Thank you.
Operator: Your next question comes from Jeff Farmer of Wells Fargo.
Jeffrey D. Farmer - Analyst, Wells Fargo Securities LLC: Thank you. Can you guys compare the wage inflation and crew turnover environment that you and your franchisees are seeing today versus maybe what you experienced in recent years? I'm just curious if this is intensifying as sort of quickly as we read in the press.
Emil J. Brolick - President, Chief Executive Officer & Director: Yeah. Jeff, this is Emil. I'll jump in on that. And I think we feel that the market has definitely tightened up in terms of supply of labor. And the way that we're approaching that across our system is very much on a situational basis as opposed to taking a broad-brush approach with that. And we have a subscription service that we use that we're able to understand our wage rates locally versus competitors in virtually every DMA in the country. So we have a pretty good understanding of the exact gaps that exist, not only for our team members, but also for the management positions in our restaurants. And we continue to manage that very, very tightly and respond as is appropriate in those situations, and I feel we have quite a good handle on this. Does that answer the question, Jeff?
Jeffrey D. Farmer - Analyst, Wells Fargo Securities LLC: Yeah, that works. And then if I can, just one more. So admittedly reaching here with this question because you did make it clear that you're going to update guidance on June 3, but is there an opportunity to see a material change in your expectations for either adjusted EBITDA or EPS as you move into the back half of 2015 or 2016 in terms of everything that's going on?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah, at this stage, Jeff, we're going to pass and provide updated guidance on June 3. I mean, we've got a lot of moving pieces as we talked about in the earnings release between the sale of the bakery which we expect to close this month, the completion of the refinancing on June 1, and then, ultimately, how we want to execute a share repurchase program. So we'd want to wait and provide full details of that on a call on June 3.
Jeffrey D. Farmer - Analyst, Wells Fargo Securities LLC: All right. Thank you.
Operator: Your next question comes from Sara Senatore of Bernstein.
Jonathan Ryan Wing - Sanford C. Bernstein & Co. LLC: Hey, guys. This is Jonathan in for Sara. Just two quick questions for you. I guess, first, just thinking about comps in the context of competition, could you just give us an update on sort of how the competitive environment is changing? Is it getting more intense or less intense?
Emil J. Brolick - President, Chief Executive Officer & Director: Hey, Jonathan, Emil. I'd say that actually the pattern we're seeing is pretty consistent out there. I don't see dramatic shifts one way or another. And as I mentioned, I think the area that we have to continue to refine is in terms of price/value. But when I look at the first quarter, we really had a nice start with our Asiago Ranch Chicken Club. It performed very, very nicely. February, quite honestly, we were rolling over fairly soft numbers in terms of weather, but we had an awful lot of weather that impacted us in February. And then in March, with our salad event – our core salad event – again we had a very nice experience with that. So I think the area of opportunity for us continues to be refining our price/value messages. But as we look through the remainder of the year, we do have secondary messages planned throughout the year. And also that we look at the current event, the Jalapeno Fresco Chicken Club and the Ghost Fries have started off very, very nicely and we're extremely pleased with what we're seeing there.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: And, Jonathan, beyond the top line, we feel really good on the margin front. As you saw in the release today, up significantly on margin expansion, see a nice flow-through on the carry-over pricing, nice favorable mix behind the promotions that Emil has just talked about, as well as realizing the benefits of Image Activation and System Optimization initiatives.
Jonathan Ryan Wing - Sanford C. Bernstein & Co. LLC: Got it. And just a question on the plans to sell the 640 restaurants. I think you guys updated the numbers a little bit since the last briefing with the Street. I guess any color on anything that's sort of changed since you last updated investors on those numbers?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: No. I think when we provided the guidance on February 3, we said approximately 500, knowing that we were still refining which markets, which specific restaurants. So today, we wanted to give you a little more visibility that it is the 540 number. We changed the pacing and the sequencing. So we're selling the restaurants in two phases; first chunk probably late Q3, early Q4. That's 260, which is up from the previous guidance of about 225 restaurants. And then for 2016, we've got about 280 restaurants and I would expect them over the course of the summer, too, to get all of those sold. So just some slight refinements as we've fully identified which markets and how we wanted to pace and sequence and sell those markets.
Jonathan Ryan Wing - Sanford C. Bernstein & Co. LLC: Great. Thanks.
Operator: Your next question comes from the line of Jeffrey Bernstein of Barclays.
Emil J. Brolick - President, Chief Executive Officer & Director: Good morning, Jeffrey.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Great. Thank you. Morning. Two questions; just one, following up on that, Todd, you talk about the restaurant margin improvements, which – the uptick obviously impressive, especially I think you mentioned you took a 160 basis point hit from commodities led by beef. So my first question is just kind of that, which is the leverage you saw was pretty strong. I'm just wondering to what you attribute that to. And should we still assume that 4% inflation in 2015? And I don't know whether your suppliers are giving you any insight that maybe the beef market will see less inflation as we look to 2016, which is something we've been hearing?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Despite some of the weather that Emil alluded to, we felt very good about the margins during the course of the quarter. It really was a function of some of the carry-over pricing that we had that flowed through nicely to the bottom. Strong mix, as we focused on a couple of salad LTOs and salad promotion during the quarter. But importantly, as you get into the tailwinds, we're seeing the impact of the IA with that 1.5% tailwind in same-restaurant sales growth with nice, strong flow-throughs that fall into the bottom line. And then you do get into the impacts of we did close some restaurants along the way. That's why we're at a net closure position end of last year, early this year; as well as the System Optimization initiative, which we're starting to see the benefits of that flow through on the margin front. And all of that was enough to really offset that higher beef inflation. We did update our guidance on margin for the year. So even though we've moved our same-restaurant sales number from approximately 3% to 2.5% to 3% to reflect the results slowing from the first quarter. We did take our guidance on margin up to 16.5% to 17%, and that's really a function of where we thought we'd see inflation at the beginning of this year, upwards of 4%. We're now tracking at about 1.5%. Beef remains high, but it's not as high as we had anticipated when we provided guidance earlier this year.
Jeffrey A. Bernstein - Barclays Capital, Inc.: And I mean that's going from 4% to 1.5% with some beef. Do you have any optimism into 2016 that you could see things roll over and actually turn favorable with beef or less inflation?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Still a little too early to tell. We really still think that it will be a high beef price environment into next calendar year, into 2016. But the delta year-on-year will continue to moderate as we come off of that much higher base. We wouldn't expect at this stage to actually see beef turn around and start to come down in later part of 2016 or early 2017 at this stage based on what we're seeing from supply and demand and where the herds stand today.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Got you. And then my other one was just on the refranchisings. I guess I think you mentioned the demand for the 500-plus sites was actually quite strong. I know you guys have stuck with that $400 million to $475 million proceeds, which I guess is roughly $800,000 per store. I'm just wondering is that the level that you were seeing with your initial or like where do you come up with that range and what type of multiple does that imply?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. So it's right where we've been historically in the 5 to 6 multiple. It's really a function of these restaurants being higher AUV and higher margin and higher cash flow that we're going to see more proceeds. We provided, purposely, a very wide range on Analyst Day of the $400 million to $475 million because it was the approximately 500, and we didn't have the specific restaurants or markets identified. So we're still comfortable that we're within that range as we've refined the specific markets that we intend to sell in those specific restaurants within the markets.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Great. Thank you.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Thanks.
Operator: Your next question comes from the line of Karen Holthouse of Goldman Sachs.
Karen Holthouse - Goldman Sachs & Co.: Hi. Thank you for taking the question. So I'm trying to understand a little bit, is the long-term guidance for new-builds and the commentary on where stores opening at $1.9 million right now. Could we get an update on what you expect unit economics for new-builds to look like in 2015? And then bridging to the longer term payback goal, how much of that is sort of the top line versus margin?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. So I guess on the new restaurant side, we've historically talked about sales to investment ratios of about 1.1 times, excluding the land. We've got a stated goal to increase that to north of 1.3 times. We're working towards that goal, so we're not all the way there yet. But the good news is even though we haven't improved the economics to the goal that we want on the sales to investment ratio, we've got a lot of engagement by our franchise community where they actually see what these restaurants can do in the eyes of the consumers moving forward. So we're getting some great support, hence the visibility to 80 new restaurants in total across the company and the franchise community during the course of this year. And the follow-up, second part of the question was?
Karen Holthouse - Goldman Sachs & Co.: Yeah. Just thinking about over the multi-year, getting to the target, how much of that comes from more of a top line to the sales to investment piece of it, particularly given margin strength that we're seeing versus the margin side of things?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. So we've got a balance, and we provided guidance in February that the top line for the system, and we'll start to gravitate to a systemwide same-restaurant sales as we continue to sell off these restaurants, was 2.25% to 3%. So we've got a realistic expectation on what we can do on the top. But importantly, through our initiatives that we have, Image Activation, the System Optimization initiative and the continued good work that we're doing in the four walls of the restaurant to manage controllable expenses, we will see a gravitation of margins towards that 20%. So that's where you'll see a lot of that expansion come through on the profit side as the modest top line growth flows through to really strong bottom line growth, and that's the way the growth algorithm works.
Karen Holthouse - Goldman Sachs & Co.: And then one other question on the product side. With the salad campaign in March, that was I think a little bit of a divergence from previously you really tried to emphasize quality of ingredients and quality of sourcing. Did you see that move the needle in terms of quality perceptions among particular groups of consumers and, in particular, millenials, because it seems like a campaign that was pretty narrowly targeted at that.
Emil J. Brolick - President, Chief Executive Officer & Director: Yeah. Karen, I think we would not have expected really one four-week or five-week window to change those trajectory on those measures overnight, but I can tell you that we've got a lot of very positive feedback from that campaign. And one of the things that was a very nice positive surprise is we got tremendously positive feedback, actually, from employees. And they went online and gave their own personal testaments to customers that, yeah, this is actually what happens in Wendy's and I build these salads and I cut the lettuce. And so it was very, very uplifting. But I think the thing that you should take away from that is we have great confidence in the equities of our brands and the things that really differentiate and separate Wendy's out. And I think that we've been too modest about talking about those and we're going to bring those out more effectively in the future and you will definitely see more consistently.
Karen Holthouse - Goldman Sachs & Co.: Great. Thank you.
Operator: Your next question comes from the line of David Palmer of RBC Capital.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Good morning, David.
Jack Kindregan - RBC Capital Markets LLC: Hi. Good morning. This is Jack Kindregan on for David Palmer.
Emil J. Brolick - President, Chief Executive Officer & Director: Hi, Jack.
Jack Kindregan - RBC Capital Markets LLC: I was wondering if you could comment on the shift in your marketing energy towards a better balance between the core and value and the premium LTOs. Just wondering if that would be a drag on check growth, but perhaps helping your traffic and throughput and maybe on the margin side as well this quarter.
Emil J. Brolick - President, Chief Executive Officer & Director: No. We actually see that, pretty much as upside. And it is a refinement. This is not a dramatic change that you're going to see, but it's definitely a refinement, and I think you're going to continue to see check benefits from our promotions, as well as we just wanted to get a richer mix and a more targeted mix on the price/value arena. And our sense is that one of the areas that has been more competitive is specifically the lunch day part, and I think that we can do a better job with some targeted messages there in terms of a price point that is more important at the lunch day part to be more successful with that.
Jack Kindregan - RBC Capital Markets LLC: Great. Thank you.
Operator: Your next question comes from the line of Joseph Buckley of Bank of America.
Emil J. Brolick - President, Chief Executive Officer & Director: Morning, Joe.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Thank you. Thank you. I was wondering if I could get some clarification on the comment about the Image Activation restaurants contributing 150 basis points to the company's same-store sales. What exactly does that mean? Like, how did they comp versus the system? Is that the weighted impact? I'm not quite sure what you're conveying.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah, Joe. So that is the weighted impact. So on the company same-restaurant sales side, the 2.6% growth, 150 basis points of that 2.6% growth is really driven by the impact that the Image Activation restaurants have on comp sales. So those would be restaurants that were constructed during the course of last year and the beginning of this year that have gotten into the comp phase.
Joseph Terrence Buckley - Bank of America Merrill Lynch: So maybe just to be more transparent, could you give us what the comp number was for the Image Activation restaurants?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Well, we don't specifically disclose the comps for the IA restaurants, but we're continuing to see lifts in that range of 10% to 15% on those restaurants that are sustainable lifts post the grand opening phase.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. And then just a question on the refranchising; how should we be thinking about the moving parts of it going forward? Are there different individual deals on royalty rates or fees, depending on whether restaurants are reimaged or not? And will there be a big – do you have a sense yet of the ownership of the real estate on the restaurants that'll be refranchised that would obviously affect the rental income? Just any help on the moving parts would be appreciated.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. So, Joe, like we did in the sale of the restaurants west of the Mississippi in Sys Op 1, we're going to continue to retain the real estate on the sales of these restaurants. The percentage of dirt underneath the restaurants is fairly consistent with what we've done for System Optimization 3, consistent with what we did in the original System Optimization 1 initiative. We aren't doing anything special around royalty rates as we move forward. A differentiator in these bids is if they come in at a full-price bid and they want to do something a little bit different around pacing and sequencing of IAs or more on the new restaurant build scenario, those are items that they can put forth. But all of those will be out there to help solidify our goals of 60% IA restaurants by 2020 and 1,000 gross new restaurants by 2020.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. Thanks.
Operator: Your next question comes from the line of Michael Gallo of C.L. King.
Emil J. Brolick - President, Chief Executive Officer & Director: Good morning, Michael.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Hey, Mike.
Michael W. Gallo - C.L. King & Associates, Inc.: Good morning. My question is just if you had a – as you have a little more time and you kind of refined the program around System Optimization – I was wondering if there's any change you're thinking about how we should think about SG&A per store once you ultimately get through this initiative? Obviously, the SG&A in the quarter, which might have been timing-wise, certainly was at a lower pace than we would have expected. Thanks.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah, Michael. So we've reconfirmed today that we're at the approximately $250 million G&A for this year. Our guidance kind of post-System Optimization 3 is to have that gravitate down to about $230 million, so we will see an improvement over time at a per-restaurant level. And like we've always said in the past, we'll continue to look at G&A to make sure we're getting a nice reinvestment for the expense that we have on the books. And what we did as part of the realignment and G&A cuts that we did in the fourth quarter of last year, we did take some of that money and put it back into development and technology because we do believe that we'll get a return for that investment. We'll continue to look at those things as we move forward post-System Optimization 3. Are we getting an adequate return on investment for the support that we're providing to the franchise community?
Michael W. Gallo - C.L. King & Associates, Inc.: Okay. Also, just to follow up, I'm not sure if you commented on it, but was there any thought as to how much you'd expect to get for the bakery business?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah, we haven't commented on that, so we'll provide more specific details on that when we get to the June 3 date. We're hoping to finalize the negotiations and complete the sale by the end of May.
Michael W. Gallo - C.L. King & Associates, Inc.: Okay. Thanks very much.
Operator: Your next question comes from the line of John Glass of Morgan Stanley.
Emil J. Brolick - President, Chief Executive Officer & Director: Good morning, John.
John Glass - Morgan Stanley & Co. LLC: Thanks so much. Good morning. A few follow-ups. First, Emil, just on the value component, did you forego a traditional value message in January that maybe you've done in the past or the competitors? And how do you think about how you want to address that specifically? I know you're focusing on margins, so you're trying to get away from that dollar messaging now, and maybe that's one of the nuances you're trying to work through?
Emil J. Brolick - President, Chief Executive Officer & Director: Yeah. John, I do think that there is a migration that's taking place in terms of the use of value menus and the role that they play in QSRs and I think a lot of brands are seeing that. And we did have $1.29 Monterey Ranch Chicken Sandwich underneath the message in January; and really we were very happy with the start we had to the year, as I mentioned, and we hit some tough weather in February that definitely had an impact. Followed that up with the salad event that we're pretty happy with. So that's definitely part of the migration that you'll see us take place, John, in terms of how we use that message and where we use it.
John Glass - Morgan Stanley & Co. LLC: Thanks. And then, Todd, just what is the size of the bakery business? Do you make money from it right now? How do we look at it in the P&L currently?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. So if you go back to the K at the end of the year, it's about $62 million of revenue from the bakery business. It's around $16 million of EBITDA. But you've got to recall that EBITDA for the last year had us out of the pension plan. We had the pension withdrawal liability that we had taken last year. We're now back into it in advance of that – going back into it in advance of the sale of that facility. And the $16 million of EBITDA is probably not a fully loaded EBITDA because we don't cross-charge for all the support services that we provide here. But those would be the metrics that would be specific in the P&L from 2014 actuals; so just under $62 million of revenue, $16 million of EBITDA.
John Glass - Morgan Stanley & Co. LLC: That's helpful. And then just finally on mobile order and pay, what's the gating factor? Is it getting everyone on a common POS system before you can do that systemwide? And I think you said 2016 is the goal. Is that still the goal and is that the limiting factor right now? Or is there other elements?
Emil J. Brolick - President, Chief Executive Officer & Director: Hey, John, this is Emil. And yes, getting the Aloha system in place is important, but we're looking at this as more DMA by DMA basis. 2016 is definitely the targeted goal, and we have confidence in that. But we don't need to wait until the end of that time to start rolling that out DMA by DMA. I think we mentioned to you that we do have this in place in Phoenix, and we are in the process of developing the rollout scenario for markets beyond that.
John Glass - Morgan Stanley & Co. LLC: Thank you.
Operator: Your next question comes from the line of Keith Siegner of UBS.
Keith R. Siegner - UBS Securities LLC: Thanks. Two questions. First one. Emil, I was wondering if you could talk a little bit about some of the recent leadership changes in the marketing and innovation side of the business with the appointment of a new Chief Concept Officer and maybe some other departures? Just talk a little bit about the changes to that leadership team, if you wouldn't mind. Thanks.
Emil J. Brolick - President, Chief Executive Officer & Director: Sure. Well, first of all, we did have our Chief Marketing Officer, Craig Bahner, leave us. And as you may have read that Craig has been appointed the president of a significant business and a packaged goods manufacturing business, and so that was his transition. And we had the opportunity to bring in Kurt Kane, and Kurt was someone who I knew from my time at Yum! Brands. He's an outstanding leader and we wanted just someone with a broader perspective on the business in terms of not just the marketing and the food innovation, but his title of Chief Concept Officer reflects a broader influence we want him to have on the organization. And clearly, we move in a very rapidly-changing world today, and assuring brand relevance is something that becomes extremely important. And so I think Kurt is going to have an important influence on that. The other thing is Kurt has very extensive experience globally. He was responsible not only for the domestic marketing at Pizza Hut, but also the global marketing. And certainly, we have high hopes and expectations and we're very enthusiastic about things we're seeing in our global business, and we believe that Kurt can play an important role and having a positive influence on the success of that part of our business.
Keith R. Siegner - UBS Securities LLC: Thanks. And then just one quick follow-up, Todd. That's a fairly meaningful adjustment in the inflation outlook from the previous update of 4% to now 1.5%, especially given B50s have been up. If you could just talk a little bit about where the savings come from, was this actual commodity prices? Are you doing something more effective in terms of hedging and/or purchasing? Anything on that front would be helpful. Thank you.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. So nothing different on how we're purchasing the beef. It's really against an expectation of where we think beef prices are coming out. As you know, we buy them basically three months in arrears based on where the average prices are in the marketplace. That program has been consistently applied year-on-year. We were getting very nervous when we looked at supply and demand at the beginning of this year and where we thought beef's price might run during the course of the summer, when you get into the summer barbecue season. Our anticipation was much higher inflation on beef than what we're actually experiencing. And we're starting to buy into the middle of third quarter right now, so we've got a pretty good sense of where the beef costs are, so had the confidence to update the guidance for the year.
Keith R. Siegner - UBS Securities LLC: Thank you much.
Operator: Your next question comes from the line of David Carlson of KeyBanc.
Emil J. Brolick - President, Chief Executive Officer & Director: Hey, David.
David Carlson - KeyBanc Capital Markets, Inc.: Good morning. I just want to circle back around on the G&A question that was asked earlier. Can you guys talk about the cadence of G&A throughout the year? I'm just really trying to understand what could possibly cause G&A to build throughout the balance of the year, given that System Optimization initiative, a lot of it – the vast majority of the refranchising is yet to take place. At this pace, it's looking like about $10 million positive benefit to EBITDA, but you guys have reiterated $250 million. Just trying to get a better handle on that? Thank you.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. So some of it – if you look at the first quarter, it's much lower than what the run rate, obviously, is to get to the $250 million. And some of that's a function of when we did the G&A realignment initiative at the end of last year, we had several individuals leave the organization and we reallocated resources and were rehiring some resources, so it's really the pacing and sequencing of when they come back into the business here during the course of the second quarter. So it's really more of a timing function than anything else. So you will see that uptick. And then you'll start to see how things start to transpire as we sell restaurants later in the year. So the first tranche of restaurants that we plan to sell as part of System Optimization 3 happens very late in the year, so you don't start to see any of the real significant G&A savings until you flow through into 2016.
Emil J. Brolick - President, Chief Executive Officer & Director: Does that answer your question, David?
David Carlson - KeyBanc Capital Markets, Inc.: I'm good. Thank you, guys.
Emil J. Brolick - President, Chief Executive Officer & Director: Okay. Thank you.
Operator: Your final question comes from the line of John Ivankoe of JPMorgan.
Amod Gautam - JPMorgan Securities LLC: Hey. Good morning. It's Amod Gautam filling in. Todd, you talked about the profitability for the bakery. What was the CapEx spent in 2014 for bakery?
Todd A. Penegor - Chief Financial Officer & Senior Vice President: We spend about $7 million of CapEx at the bakery. It's one of those things that we have lines that need to be maintained and upgraded. We do do direct distribution to the restaurants, to the freezers. And it's one of those investments that, over time, is going to need some more CapEx put into the facility to continue to keep that facility upgraded. And as we looked at the long-term outlook for the business and looked at where the uses of cash needed to go and with the evolution of moving from high-speed buns to artisan buns, we look at that as a non-core asset and thought the appropriate thing to do would be to put it in the hands of a true bakery operator to support our business as appropriate moving forward, and then get a nice return for the sale of that bakery.
Amod Gautam - JPMorgan Securities LLC: Okay. And it seems like just taking a little bit of a longer-term view because you're obviously going through this multi-year transformation, 2018 seems like the first sort of steady-state year post-refranchising, and at that point, you've guided to $75 million of CapEx. So can you just bucket out how much of that is kind of growth CapEx or associated with IT, et cetera, versus maintenance? And it still seems relatively high, given that you'll be 95% plus franchised, and I think there's a number of peers that probably spend less CapEx as a percentage of EBITDA at that point.
Todd A. Penegor - Chief Financial Officer & Senior Vice President: Yeah. We'll provide more specific guidance on the breakout of the ongoing run rate of CapEx on June 3 when we update the full long-term guidance. But in that number, you have some new restaurant development that we'll continue to do. You get to that stage where the restaurants that we have retained, that 5% we've reimaged them early in the game, so we'll need some more money to go back and to keep those restaurants fresh and up-to-date, and we're going to continue to invest in technology. So those are the three big components that go into that bucket, but we'll give you more visibility and clarity on that as part of the June 3 discussion.
Amod Gautam - JPMorgan Securities LLC: Okay. Thank you.
Operator: At this time, we have no further questions. This does conclude our conference call for today. Thank you for your participation. You may now disconnect.